Operator: Good afternoon. My name is Mike and I will be your conference operator today. At this time, I would like to welcome everyone to the Box Inc. Third Quarter FY18 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. I'll now turn the call over to Stephanie Wakefield, Vice President of Investor Relations. You may begin your conference.
Stephanie Wakefield: Good afternoon and welcome to Box's third quarter fiscal year 2018 earnings conference call. On the call today, we have Aaron Levie, our CEO; and Dylan Smith, our CFO. Following our prepared remarks, we will take questions. Today's call is being webcast and will also be available for replay on our Investor Relations Web site at www.box.com/investor. Our webcast will be audio only. However, supplemental slides are now available for download from our Web site. We will also post the highlights of today's call on Twitter at the handle @boxincir. On this call, we will be making forward-looking statements, including our Q4 and full year -- fiscal year '18 financial guidance, and our expectations regarding our financial results, market adoption of our products, our market size, our operating leverage, our expectations regarding achieving and maintaining positive free cash flow and future profitability, our planned investments and growth strategies, our ability to achieve our long-term revenue and other operating model targets and expected timing and benefits from our new products and partnerships. These statements reflect our best judgments based on factors currently known to us and actual events or results may differ materially. Please refer to the press release and the risk factor documents we file with the Securities and Exchange Commission, including our most recent quarter report on Form 10-Q for information on risks and uncertainties that may cause actual results to differ materially. These forward-looking statements are being made as of today, November 29, 2017 and we disclaim any obligation to update or revise them, should they change or cease to be up-to-date. In addition, during today's call, we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered, in addition to, not as a substitute for or in isolation from our GAAP results. You can find additional disclosures regarding these non-GAAP measures, including reconciliations with comparable GAAP results, in our earnings press release and in the related PowerPoint presentation, which can be found on the Investor Relations page of our Web site. Unless otherwise indicated, all references to financial measures are on a non-GAAP basis. With that, let me hand it over to Aaron.
Aaron Levie: Thanks, Stephanie, and thanks everyone for joining the call. The third quarter was a strong quarter for total new customer adds and cash generation. We delivered year-over-year revenue growth of 26% and billings growth of 26%. We also achieved positive free cash flow of $6 million, a $17 million improvement over last year, marking the second quarter of positive free cash flow generation this year. We maintained solid customer momentum landing wins and expansions with leading organizations like Foster Farms, the FDA, the Nuclear Regulatory Commission and Lions Gate. We now have 80,000 total paying customers. In the third quarter, we closed 36 deals over $100,000 versus 38 a year-ago, four deals over $500,000 versus 7 a year-ago, and one deal over $1 million versus 2 a year-ago. While demand remained strong overall, our big deal results were not up to our expectations. A few of our big deals slipped into Q4 in the last few days of the quarter and they’re now progressing towards closure before the yearend. Already in Q4 we are on track to execute a record number of big deals in the quarter. In Q3, we hosted BoxWorks, our annual customer conference. Thousands of attendees joined to learn about advances we are making in cloud content management. We made our most significant product announcements ever at this year's event, including how we're bringing AI and machine learning to content in Box. The event underscored the excitement customers have for Box and the alignment of our technology vision with their business needs. We are confident that our unique position sets us up well to reach our first quarter of non-GAAP operating profitability in FY19 and $1 billion in revenue in the coming years. As we’ve talked about before, this year, we're focusing on two major objectives. Number one, innovating in cloud content management with additional products and platform capabilities that help move enterprise workloads to the cloud; and number two, advancing our global go-to-market efforts so that we can reach more enterprises around the world. In Q3, we continued to make solid progress on both of these objectives. Starting with product innovation, at BoxWorks, we announced several new capabilities that extend our leadership in cloud content management. Our major announcement was the unveiling of Box Skills and Box Graph, two new ways we're bringing machine learning and AI to content in Box. We believe AI and machine learning will fundamentally change how we manage, secure and collaborate on content in the enterprise. Box Skills is a framework for applying state-of-the-art machine learning tools such as computer vision, video indexing and sentiment analysis from the leading technology platforms to content stored in Box. At BoxWorks, we showcased three initial skills, audio intelligence powered by IBM Watson, video intelligence powered by Microsoft Cognitive Services, and image intelligence powered by Google Cloud. Our approach is to take the best-in-class innovation happening in AI and bring those capabilities into Box. With Box Skills, enterprises will be able to uncover insights and re-imagine business processes that have traditionally been too costly or impractical to digitize and automate further disrupting legacy ECM systems. While these initial skills are applicable to any business in any industry, we also wanted to extend the Skills frameworks so our customers can leverage machine learning to solve their unique business challenges. That's why we announced Box Skills Kit, a collection of tools to allow independent software vendors, system integrators and enterprise developers to create custom Box Skills. Custom Skills will allow developers to build new, intelligent content experiences for use cases ranging from customer service call analysis to legal contract management. Box Skills and Skills Kit will be generally available next year. Lastly, we introduced Box Graph, our own proprietary machine learning technology that match how an organization works with content by analyzing and weighting the relationships and activity between users and content in Box. The first experience powered by Box Graph is Feed, a personalized activity feed that curates and services recommended content for each user that will be rolling out next year. Box Graph will also allow us to bring intelligence in automation to new experiences in areas like workflow and security. For instance, in the area of security, Box Graph can help us identify and service unusual behavior that may represent a potential threat and allow a security team in our customers’ environment to respond in real time. Our intelligence strategy is all about making Box more powerful for our customers. As we help customers migrate workloads to the cloud, we are laser focused on ensuring that every piece of content is infinitely more valuable to our customers in Box than in any other system. Along the same lines, we also just announced the general availability of Box Relay, our new workflow product co-developed with IBM. Relay allows anyone to easily build, manage, and track their own workflows. Over the next year, we will continue to add more sophistication to Relay, while maintaining our focus on self-service and simplicity. We are excited about the products we’ve just announced and we continue to see increased adoption of our Box KeySafe, Zones, Governance and Platform products. These products are key competitive differentiators and are growth drivers for Box. This past quarter, 67% of our deals of more than $100,000 included at least one of these new products, which is up from less than 50% last year. Our new product capabilities not only support our cloud content management strategy, they also open-up opportunities for Box to replace legacy enterprise content management systems. We’re seeing increasing momentum from customers looking to move to Box and retire their legacy content management solutions over time. For instance, a leading North American Insurance Group purchased Box Governance this past quarter to enable them to expand their use of Box across more of the organization and ultimately replace their legacy ECM systems. All of this innovation has led Gartner to name as a visionary in their Content Services Platform Magic Quadrant in October. This comes on the heels of being named a leader in the Content Collaboration Platform’s Magic Quadrant earlier this year and makes Box one of only two vendors to appear in both reports. Box is the only vendor with a single platform for content across all of these use cases. Our second major objective for FY2018 is to reach and enable every business in the world through our global go-to-market efforts. Many of you met our new Chief Operating Officer, Stephanie Carullo, at our Financial Analyst Day at BoxWorks. In her comments, she outlined her focus areas of driving up average contract value, increasing customer engagement, expanding internationally and working with strategic partners to reach more customers. We will drive greater average contract value by helping customers better understand the value of purchasing multiple products like Governance, KeySafe, and Zones. We're already seeing traction with this demonstrated by our improving product attach rates and by the types of attendees we were able to attract at BoxWorks, which included business leaders, CISOs, CIOs and Heads of Digital Transformation. We will also be focusing our online sales channel to help customers in all segments not just our smallest business segment to quickly and easily be able to buy new products and seats, which will make our sales process much more efficient and help grow average contract value as well. Additionally, we’re driving greater customer engagement through Box Consulting, our professional services group. Our customers are looking for us to be their trusted advisor to not only ensure they are incredibly successful in their Box adoption, but also to help them think through their digital transformation for content management and collaboration broadly. To that end, we’re introducing Box Transform later this month, a new consulting package that offers customers a dedicated, long-term consultant to drive advanced cloud content management use cases, get embedded in critical customer business processes and integrate Box with other digital transformation initiatives. We also continue to see strong results in our international growth. With an increasingly global economy, constant security threats and the advent of even stricter compliance protocols such as GDPR, the need for secured cloud content management is growing. We continue to see strong and growing demand in Japan and all across Europe. With GDPR coming in 2018 and our continuing innovation with Box Zones, we’re well positioned to grow market share in these new markets. Lastly, channel and technology partners are a critical component of our go-to-market strategy. In Q3, our channel partners such as IBM, AT&T, and Itochu in Japan, played a role in more than half of our deals over a $100,000 and contributed to our lead generation awareness product and sales efforts around the world. And with Microsoft, we recently announced that Box using Azure is now generally available. Under our agreement with Microsoft sales reps globally we will be able to co-sell and be compensated for selling Box deployments that leverage Azure. The Box partner ecosystem whether it's resellers, global carriers or strategic alliances, its critical to helping Box reach new markets, go deeper in the enterprise by integrating best-in-class solutions and by driving differentiation through innovation in the cloud. Looking ahead, we’re incredibly excited about the future of cloud content management. By adding AI and machine learning capabilities to Box and continuing to innovate on core Box products, we’re in the best position to help enterprises in every industry power how they work with their information and move the $40 billion market for content management and enterprise storage to the cloud. We will drive these growth strategies, while remaining committed to our goal of achieving a quarter of non-GAAP profitability in FY19 and attaining a $1 billion annual revenue run rate by Q3 of FY21. Now I'll hand it over to Dylan.
Dylan Smith: Thanks, Aaron. Good afternoon, everyone, and thank you for joining us today. As Stephanie noted, GAAP to non-GAAP reconciliations are in the presentation that is available on our IR Web site. The financial measures I will be discussing on this call are non-GAAP unless otherwise noted. In Q3, we drove solid top line growth while also delivering significant cash flow improvements. We achieved cash flow operations of $14.1 million and improvement of $20.9 million year-over-year. This marks our strongest year-on-year improvement ever and we’ve generated more than $28 million of cash from operations over the last 12 months. In Q3, we also delivered on our commitment to achieve positive free cash flow, generating positive free cash flow of $6.3 million, an improvement of $17.2 million year-over-year. We achieved record revenue of $129.3 million in Q3 above the high-end of our guidance and up 26% year-over-year. 21% of Q3 revenue came from regions outside of the United States compared to 17% a year-ago. This quarter roughly one-third of our six figure deals came from international markets. Third quarter billings came in at $141.5 million, representing 26% calculated billings growth and 22% adjusted billings growth year-over-year. The larger delta this quarter was driven by a couple of customer driven prepays. We continue to expect billings growth and revenue growth to track roughly in line in Q4. On deal metrics, we closed 36 deals over a $100,000 versus 38 a year-ago, 4 deals over $500,000 versus 7 a year-ago and 1 deal over $1 million versus 2 a year-ago. While we saw lumpiness in our larger enterprise deals this quarter, we had a very strong quarter in our commercial business, achieving record bookings internationally as well as an all-time high for a 100K plus deals in our commercial segments. We continue to drive strong attach rates with our newer products including Governance, Zones, KeySafe and Platform. In Q3, roughly two-thirds of our six figure deals included at least one of these newer products. Even with our Microsoft and Fujitsu partnerships just now ramping up, partners play a role in half of our deals over a $100,000 with 4 of these deals attributable to IBM. Deferred revenue was $253 million, up a very strong 31% year-over-year and was positively impacted again by the enhanced developer access fee from one of our resellers. Turning to margins. With continued strength in price per seat and infrastructure efficiencies, non-GAAP gross margin came in at 75.5% versus 76.1% a year-ago and 75.5% last quarter. We continue to expect our gross margin to come in at roughly 75% in Q4. Q3 was another successful quarter of driving operational efficiency across the business. Sales and marketing expenses in the quarter were $73.5 million representing 57% of revenue, an improvement from 58% in the prior year. As a reminder, our annual customer conference BoxWorks takes place in our third quarter and this year accounted for roughly $8 million of our Q3 spend. Excluding BoxWorks, sales and marketing expenses would have been 51% of revenue. This year we’ve also accelerated our rate of AE [ph] hiring given the opportunity we're seeing and we remain on track to grow our global AE headcount by roughly 25% this year. The ongoing cost to support our free user base which is a sales and marketing expense, decreased to 3% of revenue in the third quarter, an improvement from 6% in the same quarter a year-ago. We now have 57.5 million registered users of which 10 million are paid. Next, research and development expenses were $25.1 million or 19% of revenue, down from 21% a year-ago even as we made significant enhancements to our products, including the early development of Box Skills and Box Graph, and preparing Box Relay for November general availability. Our general and administrative costs were $16.1 million or 12% of revenue compared to 13% in Q3 of last year. We expect to continue to drive leverage in G&A as we benefit from greater operational excellence and scale. As we’ve noted previously, we are currently paying double rent on our offices in London and Tokyo as we prepare to move into these new facilities in Q4. Still our focus on operational efficiency drove our Q3 non-GAAP operating margin to a solid 4 percentage point improvement year-over-year coming in at negative 13% versus negative 17% a year-ago. As a result, non-GAAP EPS came in at negative $0.13, an improvement from negative $0.14 a year-ago. One of the key elements that makes our business model so powerful is our strong customer retention. Our full churn rate was roughly flat with Q2 and remains best-in-class at just under 4% on an annualized basis. Our net expansion rate was 16% primarily driven by strong seat growth in existing customers and cross-sells of our newer products. As such, we ended the quarter with a retention rate of 112%. Over the past year, we’ve seen a higher percentage of our bookings coming from net new box customers, particularly in international markets which has created some downward pressure on our retention rate. Let me now move on to our balance sheet and cash flow. We ended the quarter with $199.4 million in cash equivalents and restricted cash of which roughly $26.5 million was restricted. We delivered very strong cash flow from operations of $14.1 million versus negative $6.8 million a year-ago. We’ve been making several improvements to our working capital management proxies [ph], which has resulted in improved collections rates and cash flow from operations. In Q3, total CapEx was $3.0 million versus $1.9 million a year-ago and capital lease payments were $4.8 million versus $2.2 million a year-ago. We expect data center CapEx and capital leases combined to be roughly 4% of revenue for Q4. In addition, we expect to spend roughly 5% of revenue on CapEx related to facilities expansion in Q4. Once we move into our expanded facilities in London and Tokyo in Q4, we expect CapEx to return to more normalized levels in FY19. Finally, we generated $6.3 million of free cash flow in the third quarter, a significant improvement from negative $10.9 million of free cash flow a year-ago. We remain committed to achieving positive free cash flow for Q4 as well as for the full-year of fiscal 2018. With that, let's now turn to our guidance. For the fourth quarter of fiscal 2018, we’re setting revenue guidance in the range of $136 million to $137 million. We expect our non-GAAP EPS to be in the range of negative $0.08 to negative $0.07 and for our GAAP EPS to be in the range of negative $0.27 to negative $0.26 on approximately 137 million shares. For the full-year of fiscal 2018, we expect revenue to be in the range of $505 million to $506 million. We are tightening our guidance range and expect our non-GAAP EPS to be in the range of negative $0.45 to negative $0.44 and for our GAAP EPS to be in the range of negative $1.19 to negative $1.18 on approximately 134 million shares. In summary, Q3 was a strong quarter of product innovation for us with the introduction of Box Skills and Box Graph. We are excited to bring artificial intelligence and machine learning capabilities to Box Content in FY19 and we’re encouraged by the customer and partner enthusiasm for our cloud content management solutions at BoxWorks. We are committed to delivering positive free cash flow in Q4 and for the full-year of FY18 and to delivering our first quarter of non-GAAP profitability in FY19. These target set us up nicely to achieve $1 billion annualized revenue run rate in Q3 of FY21 as highlighted at our recent Analyst Day presentation. With that, I would like to open it up for questions. Operator?
Operator: [Operator Instructions] Your first question is from Rob Owens with KeyBanc Capital Markets.
Mike Casado: Hey, guys. This is Mike Casado on for Rob Owens. Aaron, could you provide some further perspective on the cause of the slipped deals and where they stand in 4Q?
Aaron Levie: Yes. Couple of the deals were in key regulated industries, and unfortunately there was some unanticipated deal complexity just given the nature of these types of customers and so they pushed out into Q4. We are seeing really good progress on them and so have full confidence that they will close. And as I mentioned in the prior statements, we expect this to be the strongest quarter in terms of our big deal metrics that are for any quarter ever. So we are very, very confident in the momentum that we're seeing. It was also a record quarter for us in terms of deals over $100,000 in our commercial segment, and so we’re continuing to see customers even in the mid market part of our business by larger and larger deployments of Box, especially leveraging the add-on products that we have. So, overall, directionally we’re seeing really positive signs. Unfortunately there were a couple key deals that due to again the deal complexity did have to push out into Q4.
Mike Casado: Okay. And then I had one for Dylan. Dylan, this quarter we saw a sizeable shift to long-term in the deferred mix. Was this a product of larger and longer deals as you go up market? And I guess, are there any takeaways to draw regarding general business philosophy from that?
Dylan Smith: Yes, so I wouldn’t say that there is anything different in terms of either sort of the mix shift or the strategy or anything about the philosophy, couple things there that are driving a bit of a shift and different contributions between short-term and long-term versus what we see typically in a quarter, the first of which is related to the way that the reseller, prior to the platform development fee we’ve talked about before is starting to flow through the revenue, so some of that was coming out of short-term deferred and being recognized as revenue. And then as we mentioned, there was a bit of a delta this past quarter between our adjusted billings rate and our calculated billings rate. We did have a couple of our larger customers choose to prepay for Box for multiple years in advance, and so a lot of that is showing up in long-term deferreds as well, so we wouldn’t expect that trend to really persist and there’s nothing really that we're doing differently, but when you add those two things up it does create a little bit of a different mix shift between short-term and long-term in this quarter.
Mike Casado: Great. Thanks for the color.
Operator: Your next question is from George Iwanyc with Oppenheimer.
George Iwanyc: Thank you for taking my question. So digging into the large deal momentum, how much of an impact were your partners there? Can you give us a little bit of color on IBM and what you’re seeing as well from the partners internationally?
Aaron Levie: Yes, we are still seeing very positive momentum on the partnerships overall. We -- as I mentioned, we have a significant percentage of our deals over $100,000 come in from and through partners. So, especially when we look at key markets like Japan and Europe, we do see some strong impact from partnerships with IBM and then Itochu in Japan and others, so very strong momentum on the partnerships overall. As I think you know the end of the year tends to be a big period for IBM in particular, so we do expect a ramp up in some of the larger deals that we see through that channel partnership, and then obviously going into next year this continues to be a focus. So, Stephanie Carullo, our new Chief Operating Officer has a big focus on making sure that we’ve a really good mix of go-to-market partners as we extend our reach into larger enterprise segment.
George Iwanyc: Okay. And with all the hiring that you’ve been doing on the sales side, can you give us a sense of what productivity ramp has been for the newer hires over the last couple of quarters?
Aaron Levie: Sure. So I’ve been really pleased with the way that we’ve been able to scale up the sales force as we’d talked about heading into this year, and we are on track to grow our global headcount by about 25% this year, and that’s one of the biggest drivers of the sales and marketing spend increase that you’re seeing. I would say that we’ve been pleased with the ramps of the reps that we're seeing as a reminder though. In the fields segment, it takes about 12 months for those reps to become fully productive and in the commercial segment that's about 9 months, sometimes a little bit shorter depending on the segment. So I know that most of the reps that we’ve been hiring throughout this year, we don't expect to materially contribute to the business outside of to a certain extent in Q4, but we expect most of that to be capacity and sales for next year. So we are seeing across ramped reps as we’ve talked about over the last couple of years, strong productivity gains in the double digits and a lot of positive signs in terms the reps that are ramping now. But in terms of the overall contribution to new bookings, the reps that we’ve been hiring this year are not a major driver of those.
George Iwanyc: Okay. And just one last question. The confidence level on the large deal momentum is encouraging, but can you just give us a sense of what that visibility is? Is it that those deals that got pushed out already closed? Is it a record pipeline that if normal win rates work out that it will be a record quarter, and just a sense of where that visibility is coming from?
Aaron Levie: Yes. This is Aaron again. I think, one is it's all based on a lot of the pipeline that we're seeing in the deal conversations that we're involved in right now. Q4, for obvious reasons seasonally is the strongest for us as customer budgets start to align to the next year spend, and so we do see more alignment with the strategic initiatives of our customers which tends to allow us to capture much more strategic transactions, especially with a lot of our add-on products. So this is driven by the -- our confidence in this is driven by the visibility that we have into the quarter and including what we’ve already seen happened in November. But, in particular, we’re just directionally again seeing more and more of a move up-market in the medium-size and larger enterprises that are realizing they have to manage their content, secure their content, ensure compliance around their content in completely new ways that legacy systems aren’t going to solve that problem. And fortunately a lot of that momentum is in the favor of our platform and for cloud content management. So that’s what’s driving a lot of the growth overall and Q4 just happened to be a very strong quarter for again seasonal and strategic reasons for our customers.
George Iwanyc: All right. Thank you very much.
Aaron Levie: Thank you.
Operator: Your next question is from Melissa Franchi with Morgan Stanley.
Melissa Franchi: Great. Thank you so much for taking my question. [Technical difficulty] quarter. I’m just wondering if you could maybe talk about some of the changes that she has made, maybe to the go-to-market motion? And I’m just wondering if you think any of those changes may have been perhaps disruptive this quarter?
Aaron Levie: Yes. So, we haven't seen any disruption in the -- on the execution side. I think that the first quarter this is -- Q3 was the first quarter that Stephanie was fully on board and it was mostly a ramp period in terms of going deep in the business understanding all the different dynamics of how the business works and leveraging a lot of her experience to compare and contrast on some things that we want to continue to evolve on. As she talked about at the Analyst Day and the Financial Analyst Day at BoxWorks there's a few key areas that she is going to be focused on around driving average contract value up, making sure that we’re working with our partners, especially more and more globally and ensuring that we’re getting closer to our customer, so we can continue to up-sell them, retain them, and build stronger relationships. So, all of those initiatives we believe are very additive to what we’re doing. Some of that is enabling us to align and get more focused in certain areas and make sure that certain segments across the business are much more aligned and then continue to integrate more and more of our function, so we can execute more effectively. So we see it all as positive changes in terms of how we’re executing and I think going into next year we will start to see the more substantive benefits of these changes that we’re implementing right now. But we don’t expect disruption from a sales standpoint or go-to-market standpoint because of these changes.
Melissa Franchi: Okay, got it. And then I’m just wondering if you can maybe give an update on Box for government now that you are FedRAMP and this was federal fiscal year end, I’m just wondering how that’s proceeding relative to your expectations and how material is it today?
Aaron Levie: Yes, so it's still a growing part of the business. So in terms of materiality, we still see it as -- its driving, its growing up of a small base, but not extremely material to the business overall. We are seeing more and more again key agencies deploying Box both domestically and globally. One of the key deals in Q3 was the FDA coming on board and we’re seeing more and more agencies that are deploying Box for secure content management and collaboration. Last quarter the one deal that we announced was the Metropolitan Police of London, so leading that police agency globally using Box very extensively across their organization. That was our largest European deal ever. So to be able to get that within a government institution was we think a testament to the security and compliance offerings that we have. But going into next year I think we are still going to see a lot of growth on the government side. There is a huge plush within both again the U.S government at the federal level as well as local levels and globally to both drive costs down, improve security, improve productivity and collaboration at an interagency and departmental level and that’s all placed in the favor of Box and cloud content management. So we expect to see pretty healthy growth within the government sector next year in addition to our other key verticals like lifesciences and financial services and some other spaces.
Melissa Franchi: Right. Thank you.
Operator: Your next question is from Mark Murphy with JPMorgan.
Mathew Coss: Hi. This is Matthew Coss on for Mark Murphy. You mentioned some non-anticipated deal complexity as the reason for some of the slipped deals. Was this complexity unique to those deals or is it something that could potentially be germane to larger deals as your deal sizes continue to get bigger and bigger?
Aaron Levie: Yes, it is -- as we work with larger and larger enterprises on more strategic deployments, especially in regulated industries like financial services for instance, there is just more stakeholders that tend to get involved in deals from Legal Compliant Security etcetera and this is something that we obviously have seen as we ramped up in some of these key markets over the past couple of years, so it's not a surprise on as much as in a couple cases there were some areas where we weren't able to get ahead of the deals fully and so they did have some unanticipated pushes, but we don't expect this to be any kind of systemic issue as we go into more of these regulated markets or larger enterprises. And we are implementing some process improvements to ensure that we have more executive sponsorship upfront. We're aligning the -- all the very stakeholders as efficiently as possible, but don't expect us to be any kind of ongoing issue but it did impact a couple of the key deals at the end of the quarter unfortunately.
Mathew Coss: Okay. Thank you. And I know it's early, but given the way Microsoft sales reps are incentivized to sell Azure, would have been some of your observations at this early stage of how that’s affected the selling of Box? Is there anything that surprised you just so far that you've seen?
Aaron Levie: Yes, so for context, the technology just became generally available as I mentioned. So we’re very, very early in our ability to go-to-market with Microsoft, so it's a contingency or dependency to make sure that when our sellers were in the field because that the product was actually able to work together with Azure. So we are very early just weeks into this effort in the field. What we are seeing is some pretty active conversations with our sellers as well as Microsoft's, especially in accounts where an Azure sales rep is trying to penetrate an organization and get more adoption or new adoption of Azure in that environment. We have found that those conversations are very collaborative with Microsoft. So very, very early stages just seeing some of the earliest trends of the relationship, but we have a lot of optimism and confidence that this is going to be very helpful in the field as we go into more and more accounts together with Microsoft just as you’ve seen with us working with IBM and many of our other strategic partners.
Mathew Coss: Sure. Thank you. And one last one. Dylan, as you think about getting to your 11% pro forma operating margin target in Q3 of fiscal '21, how do you anticipate scaling towards that target? I mean, obviously, it's not going to be completely linear, but are there any sort of guard rails you can give us for how you might scale towards that target?
Dylan Smith: Sure. So to your point, we do expect to make steady improvement year-on-year both in our operating margin as well as our cash flow margins, but don't expect to be completely linear. I would say that the biggest area and if you just look at the spend today and the target model, the $1 billion target model we -- that we put out at the Analyst Day, Box were just a bit ago the biggest line that we expect to drive leverage is in sales and marketing. And so a lot of that we think is going to come from just a natural business model scale. So as we’ve talked about in the past, we’ve very different economics associated not just kind of between landing and net new customer and expanding an existing customer but very, very strong contribution margins from renewals. So with that base scale, that’s going to drive a lot of that leverage just naturally. We talked a little bit about continuing to leverage our online channel for fulfillment, which should be an efficiency driver and then a lot of it comes down to just continued kind of maturation of our sales force and kind of rep productivity improvements, increases in ACV, things like that. But in terms of the overall productivity measures or locations or things like that, that path to get to that $1 billion target model doesn't assume that we do anything dramatically different than what we already doing today. It's just continuing to see the trends that we've seen over the past couple of years as we continue to drive leverage across the business.
Operator: Your next question is from Brian Peterson with Raymond James.
Brian Peterson: Hi. Thanks for taking the questions. So just wanted to hit on the deals [indiscernible] a little bit. I was curious did the timing of BoxWorks, which I think was a little later in this -- in the quarter on October and historically it's kind of in the August timeframe, did that change any of the impact related to the deal activity of this quarter?
Aaron Levie: It's a great call out. Usually BoxWorks does happen at the beginning of -- it tends to happen at the beginning of September in this quarter, so that gives you a lot of momentum that the -- its really the kind of start of the seasonal trend of the fall, so coming out of August and into the fall period. So that was definitely a difference year-over-year and lot of our focus was on BoxWorks in mid October which is not a closing event, it's really a momentum building event from a product and a go-to-market standpoint. We wouldn't want to point to that specifically as a driver of the deals leverage, but we were all hands on deck obviously for that event and overall the momentum that we were able to generate both from a pipeline standpoint as well as customers that were at BoxWorks does help us and support us significantly for Q4. So that’s -- that was the real kind of positive result of BoxWorks and then obviously that takes us into next year. So, still benefiting pretty significantly again from being able to launch a lot of new and updated products for customers and get thousands of customers into the room and show them really the future of cloud content management. So we’re very happy about that, but yes, I think on the final key deal point, it really just again a couple of cases that have some unanticipated complexity that pushed output, but overall still I think pretty happy about the number of transactions overall, 4,000 total new customers and a lot of really kind of good names and logos in very regulated industries in many cases. So still pretty happy from that standpoint.
Brian Peterson: Understood. Thanks, Aaron. Maybe, Dylan, one for you. You referenced some pretty strong commercial results this quarter. I was just curious if may be you could talk directionally how much of that has been driven by C count user count or how should we think about the pricing for customer in those record commercial results? Thanks, guys.
Dylan Smith: Sure. So, overall, even for the core product we’ve seen really strong trends in price per seat. So as we had kind of highlighted at Analyst Day, historically we've been talking about per user pricing in the $100 per user per year range being stable at those levels for two or three years. And then really this year, especially because of the increasing penetration and type of sales that we’re making to customers across segments, we’ve seen that up and significantly above $100 per user per year. So that trend has continued into Q3 and certainly is a driver of that. And as we’ve talked about in the past, its less driven from kind of the price per seat specifically and more the types of use cases that we're seeing and that’s kind of cloud content management solutions that we’re selling are really resonating in the commercial segments as well, especially the high-end of that segment. So we’ve talked about in the past one of the things that surprised us about Governance as we roll that out and started to have more and more customer conversations that there was a lot more demand from the commercial segments than we've been expecting. Similarly, on the platform front there's a lot of commercial midmarket companies who are really interested in used cases who can build compelling and kind of value driving applications on Box. So I think the biggest thing that’s driving such a delta in those six figure deals we are seeing in the commercial segment is more that we're seeing some of these companies who might just be a few 100 employees who are also buying Platform and buying our full suite of products, and that's really where we get to those six figure outcomes.
Brian Peterson: Great. Thanks, Dylan.
Operator: Your next question is from Greg McDowell with JMP Securities.
Greg McDowell: Great. Thank you very much. Just one Q4 guidance question for Dylan. I was hoping you can help us think through the Q4 billings commentary and how it will closely match the revenue growth rate, because when I look at the midpoint of your Q4 revenue guidance, I think it's around 24% revenue growth which would get us close to a Q4 reported billings growth number of 24%. So what I'm trying to think through is with all the big deal commentary and some of the slip deals why won't Q4 billings perhaps be higher than the revenue growth rate in Q4? And the second part of the billings question is if we look at what happened in the second half of last year, we saw that adjusted billings growth number actually higher than the as reported number and in Q3 it was 4 points lower and I was just hoping you could help us think about the difference between the adjusted and as reported number in Q4 in terms of how you plan to get customer prepays or structure some of these contracts? Thanks.
Dylan Smith: Sure. Yes, so we wouldn’t expect this sort of payment durations to be a big driver of any deltas. I mean, both last year and this year we will from time-to-time see customers prepay, but it's not a behavior that we’re driving either with customers or incentivizing with our sales force. And so, last year we had about 2% of our overall billings coming in Q4 in terms of multiyear prepays. But if you recall, more broadly there is quite a delta between adjusted and calculated billings in our numbers last year as it was comparing to FY16 where we did take a pretty different approach. So there's some noise in that sort of delta and sort of the payment durations for Q4 were fairly normal last year, we expect roughly the same this year. What I would say in terms of the overall growth is we had a very strong sales quarter in Q4 last year, so if you look at some of the large deal metrics and just the overall growth metrics that we highlighted, we are pretty pleased with the results. Again, we have much stronger pipeline this year and feeling pretty good about the setup that we have going into the quarter, but we do have a fairly large portion of that pipeline in the large enterprise transactions and as you know we tend to take a fairly conservative approach with respect to the expectations we set. So if some of those larger deals fall our way, there is certainly some upside we could see billings growth outpace revenue growth. But we think it's probably the right way to think about the business as revenue growth and billings growth tracking roughly in line both for Q4 and then as we move forward.
Greg McDowell: That’s great. Maybe I will do one quick follow-up for Aaron. Just -- it was good to see that the churn rate sort of flat now in Q2 or compared to Q2 and I was just hoping maybe you could talk a little bit about anything you guys have done internally to tighten up the customer churn and sort of what needs to happen to get that net expansion rate to start to -- instead of declining, start to grow again? Thanks.
Aaron Levie: Yes and this is certainly one of Stephanie's biggest focus areas coming into Box on the go-to-market side. So, I think that as we’ve talked about before, we are in a transition process on our customer rates are really moving people from thinking about Box as a file sharing, file collaboration, a secure sharing tool really into being a much broader enterprise content management platform, and that's really -- what the focus of cloud content management is. And in some cases there are customers that have come on years ago that still only think about us as an end-user file sharing and collaboration tool and we have to move in and effectively migrate those customers into thinking about as much more broadly and more strategically and that meant an evolution in how we do customer success management, how we do retention, how we communicate and market into our customer base, especially if the scale of 80,000 customers this is a -- this has to be a programmatic effort and so we’ve been on this transition for the past year plus, but it is clearly ramping up and you’re starting to see the results. Hopefully, more and more positive results from that and one great example was in Q3 on the retention title though we are confident there is a lot more we can be doing on that front. I will also add that what we are seeing is as customers adopt more of our add-on products, so products like Governance or Zones or KeySafe or Platform, that continues to add more and more stickiness for customers on the Box platform and it means that we can be involved in much more strategic parts of the business and obviously it means that we're much more embedded into their core business processes. So the more that we see customers adopting those add-on products, we do see that correlating with better retention rates and then hopefully again more up-sell rates over time. And we called out at the Analyst Day that we have over a 1,000 customers that have adopted Box Governance. Again, that’s really just the start because that’s the -- we see a lot more opportunity ahead for both Box Governance and all of our add-on solutions.
Greg McDowell: That’s helpful. Thank you very much.
Operator: [Operator Instructions] The next question is from Brian White with Drexel.
Brian White: Yes. Aaron, as we look into calendar '18, if you could give us maybe three to four items that you’re excited about as we go into the new year. Obviously, you have a lot of new products, a lot of new partnerships, you’re going after big and small different verticals, but if you could point us to just three or four things you just think about for calendar '18?
Aaron Levie: Yes. So I think that -- we’ve been on this huge push if you look at our -- the past couple of years with our product strategy where we’ve added Box Governance, which helps advanced information governance, used cases get solved on Box. Box Zones for international data residency and then obviously the Platform push for developers being able to build on Box. I think you will see a clear pattern of really what we’re trying to do is become the system of record for how companies manage secure and organize their critical content. And we continue to think there was a whole bunch of other additional areas that we want to be best-in-class at and completely change how customers are thinking about from a content standpoint. So one thing that we announced obviously at to BoxWorks, but really the bulk of the innovation will be coming next year for around this is around intelligence. So how do we bring the power of machine learning and artificial intelligence into content management, so we can begin to automate and completely change the way that people are working with our content. So one big focus area is intelligence. We also think that there's a lot more that we can be doing for our customers around security, so whether it's things like anomaly detection that could be powered by Box Graph as an example or deeper functionality that allows us to be the best place and continue to be the best place to secure content in the cloud, there's lot of innovation on the security front. And then finally, I think as you see us move into both more regulated industries and key verticals like financial services or lifesciences as well as on a global basis, compliance is going to be a massive area. So we’ve talked at a high level about GXP, which is the requirement in lifesciences companies to be able to use a content management services for the regulated drug trial processes within their organization, we already work with many of the leading lifesciences companies, but more in a less regulated part of the business with GXP compliance that were on track to receive or be able to enable customers to support, that’s going to allow us to go way deeper in lifesciences organizations, that’s one example. But that is just a -- one element of the overall compliance strategy. GDPR is on the horizon for our customers in May of next year. We see that as another major catalyst for customers who have to rethink their content management strategy and begin to move more content management in collaboration to the cloud. So I think that if you kind of look at a few of these areas intelligence, compliant, security and broadening our platform, that’s where you’re going to see some really big pushes going into next year.
Brian White: That’s helpful. And when we think about the Microsoft relationship, obviously there is different aspects to it, but in the go-to-market aspect of it should we think about a ramp that similar to IBM has similar potential what you’ve seen with IBM or should we think about it differently?
Aaron Levie: I think it's going to look a little bit different still because the structure of the relationship is fundamentally different. So with IBM obviously we're jointly developing products and they’re a true reseller of Box. So that relationship takes on one set of aspects and one set of dynamics. On Microsoft, we do a lot of co-innovation and integration with Microsoft products like Office 365, Azure Active Directory etcetera and in the field we’re going to be able to co-sell Box and Azure together. It won't be a resell relationship. So, the very nature of the relationship is a little bit different. I think the way that we’re going to ramp it up, the way we’re going to enable it will have a lot of similar characteristics, but I think it's a little bit too soon to tell how we would want to compare and contrast it to the sort of IBM as a distribution channel which just have some very -- again, different dynamics to it. But overall we are seeing a lot of positive momentum in the field both with Microsoft sellers and our own, and we think the customers are going to be pretty excited about the joint -- the innovation that Box is going to be able to bring on top of Azure, and we think Microsoft is pretty excited about that as well. So, overall, we’re trying to build out a strong portfolio of partners that we will work with in a variety of ways. Some are just going to be pure technology oriented partnerships and then some like IBM or in the case of Microsoft we’re going to be much more on the go-to-market side and [multiple speakers].
Brian White: Great. Thank you. Great. Thanks a lot, Aaron.
Operator: The next question is from Kash Rangan with Bank of America Merrill Lynch.
Jane Wong: Hi. This is Jane Wong on behalf of Kash Rangan. My first question is with regard to the new professional services group, the Box Transform Consultant that you announced. What kind of impact do you expect that to have to your professional services revenue mix as a percentage of total? And what kind of impact do you expect that to have to gross margin?
Aaron Levie: Yes. So it's still very early with this initiative. It's just rolling out right now and what it's all about is allowing us to get closer in our customers environments and really help them extend the usage of Box into much more strategic parts of the business. So instead of just rollout and optimization activities, it's much more about strategic change management and integrating with some of the core business processes our customers have. So back to that earlier question of being able to transition customers from using Box to secure file sharing and collaboration to truly a cloud content management platform that helps empower the business. So that’s what Box Transform is all about to your point. In terms of the gross margin impact, because it's so early in the program, I don’t think we know what the impact is going to look like. Its aimed at our more strategic customers, so we don't expect it to necessarily drive down overall gross margins given the sort of segment of customers that its aimed at, but that’s something that we’re obviously going to pay a lot of attention to.
Dylan Smith: And just to build on that update, just if you think about the overall scale of our total consulting business, it's been fairly steady in the low to mid single-digit range of overall revenue. I do expect that to trend upward a bit over time and steady state we think that the professional services part of the business will be running in at kind of 10% or 20% gross margin clip. So unless there is way to change the revenue mix shift materially, probably wouldn’t expect much of an impact on gross margin. And the other thing I note is that the nature of these consultants tend to be with very large customers who are making large purchases and that is really just about how do we drive the adoption in those advanced deployments, digital transformation projects etcetera and so think that from those types of customers overall tend to be pretty high margin as well.
Jane Wong: Thank you. And maybe could you give us an update on the adoption of Box Platform for developers by your customers? Maybe some trends and attach rates and usage or maybe in the percentage of mix in the ACV that’s made up of Box Platform? Thanks.
Aaron Levie: Yes. So, we had really strong growth year-over-year from Q3 to Q3 FY17, '18 in Platform. We are continuing to see Box Platform be used in more and more again kind of strategic use cases, so everything from financial services firms powering wealth advisor portals we’ve deals in the pipeline right now in the healthcare space to be able to power customer patient portals for delivering documentation to and various medical information to patients. So the used cases are continuing to extend the breadth of how Box is used into an enterprise and overall we are seeing it become more and more core to the cloud content management message and sales process for all of our customers, even for those that don't elect it by platform right away. So we see it as a major differentiator for us and we are seeing very strong growth on a year-over-year basis. We don’t break out the revenue yet for this part of the business, but we are seeing really growing and strong traction from the customer base.
Jane Wong: Thank you.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Stephanie Wakefield: Thank you so much for joining us today.
Operator: This concludes today's conference call. You may now disconnect.